Operator: Greetings. Welcome to EzFill Holdings Fourth Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, John McNamara. Sir, you may begin.
John McNamara: Thank. Welcome and thank you for joining us today for the EzFill 2022 fourth quarter and full year financial results conference call. With us today from management are Mike McConnell, Chief Executive Officer; and Art Levine, Chief Financial Officer. Before we begin, as usual, we would remind everyone that certain matters discussed during today's call or answers that may be provided to questions may constitute forward-looking statements as defined under federal securities laws. Words such as may, should, projects, expects, intends, plans, believes, anticipates, hopes, estimates, and variations of such words and similar expressions are intended to identify forward-looking statements. These statements are subject to numerous conditions, many of which are beyond the control of the company, including those set forth in the Risk Factors section of the company's annual report on Form 10-K filed with the SEC. Copies of these documents are available on the SEC's website as well as on the company's website. I would now -- with that -- actual results may differ materially from those expressed or implied by such forward-looking statements. The company undertakes no obligation to update these statements for revisions or changes after the date of this call except as required by law. And now, I'd like to turn the call over to Mike McConnell, CEO. Go ahead, Mike.
Michael McConnell: Thanks John. Good afternoon everyone. Thank you for joining us today to review our 2022 fourth quarter and full year financial results. As we noted in our press release, which we issued a short while ago, 2022 was EZFill's first full calendar year as a public company. At the end of 2021 with one full operating quarter under our belt, we had about a dozen trucks that we serviced out of one location in Miami and we had about 15 fleet customers that we were generating approximately $3.5 million in annual revenue, more than half of which came from one customer. Today, we're very pleased to report that after our first full year of operating results as a public company, we can point to significant growth and most of the key metrics investors look for in small growing companies. We increased our revenue by 108% from $7.2 million to $15 million. That revenue is spread much more widely across more than 100 fleet accounts and other customers that we service with 40 trucks, operating out of five locations across Florida. As previously announced in January and February, we added 19 new fleet counts. Our customer base is diverse as you would expect in a large state like Florida, ranging from small moving companies and pet grooming companies to one of the nation's largest retail grocers. Most recently, we also announced a three-year extension of our agreement with the organizers of Miami Formula One Grand Prix. We expect to see the fleet count number continue to grow as the EZFill brand becomes more widely known and respected. We're focused on improving margins throughout a combination of higher average pricing for existing and new customers and improved driver and fuel purchasing cost efficiencies. We're also looking into the sale of other types of fuels that have higher margins. We will continue to look for opportunities to add innovative solutions and leverage our technology to generate additional sources of revenue from other than fuel arriving out of the trend to on-demand services and supported with careful and focused investments in marketing. This will likely involve strategic partnerships with other companies that have complementary products. There's no doubt that we operate in a competitive environment, but with the $20 billion in growing fueling market in Florida, we believe there is plenty of room to grow in our home state in the short-term. We will continue and evaluate opportunities to expand out of the state later in 2023. With that, I'll let Arthur walk you through the financial results. Go ahead, Arthur.
Arthur Levine: Thank you, Mike. As Mike noted, revenues for the full year -- $8 million from $7.2 million in 2020, a 108% increase. On a quarterly basis, fourth quarter revenue increased to $4.9 million, up from $2 million in the prior year fourth quarter. The increase in both periods was driven by an increase in total gallons delivered as well as an increase in the average fuel margin per gallon. For the year 2022, the total gallons delivered were $3.6 million compared to $2.3 million in 2021, 56% increase and our margin per gallon in 2022 rose to $0.45 from $0.37 in 2021, a 22% increase. As Mike mentioned, we've been adding new customers at [Indiscernible] gallon and where possible, we're also increasing fuel margin and fees for existing customers. Operating expenses in 2022 were $12.7 million compared to $8.1 million in 2021, a 56% increase. The increases were mainly in payroll, sales and marketing, insurance, technology, and public company expenses as we grew our infrastructure during the first three quarters in order to accommodate our growth and our expansion throughout Florida. Our fourth quarter operating expenses were approximately $600,000 lower year-over-year, primarily due to lower stock compensation, lower D&O insurance premiums, and efficiencies realized in other operating expenses. Our OpEx was sequentially lower than in the third quarter by a similar amount. Depreciation and amortization for the full year was $1.8 million, up from $0.9 million in 2021 with the increase mainly due to purchases of delivery vehicles. Interest expense was $104,000 in 2022 compared to $776,000 in 2021, the decrease primarily from the early payments of pre-IPO debt. On a GAAP basis, we reported a net loss in 2022 of $17.5 million compared to $9.3 million in the prior period. In the fourth quarter, a loss of $6.2 million included a -- impairment charge, primarily related to goodwill and intangibles. The majority of this impairment related to a license for technology that the company is not using and does not factor into our future plans. Adjusted EBITDA loss for 2022 was $11.4 million compared to adjusted EBITDA loss of $5.8 million in 2021 The increase in the adjusted EBITDA loss reflects significant spending on infrastructure during 2022 to grow the business. Our adjusted EBITDA for the fourth quarter improved slightly year-over-year and sequentially compared to mainly as a result of a tighter focus on our marketing, technology, and other spending without limiting our ability to continue to grow the topline. We will continue to be focused in our spending as we continue to grow the business. As Mike mentioned, we now have 40 trucks in our fleet and there is still much room for our utilization to increase with the existing fleet. We will review our needs as the year progresses and if necessary, we'll order additional trucks. We used approximately $2.6 million in cash in operations during the fourth quarter and $11.6 million for the full year. Our cash position at December 31st was $4.2 million compared to $16.9 million at year end 2021. Outstanding borrowings [Technical Difficulty]. We're evaluating a number of options to increase our cash position, but there is limited detail that we can provide on those efforts at the moment. We will look to update the investment community on any new developments as soon as we have them. With that, we'll be happy to take any questions.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Tate Sullivan from the Maxim Group.
Alejandro Nuno: Hi, it's Alejandro Nuno on for Tate Sullivan. Thank you for taking my question. Can you guys hear me?
Michael McConnell: Yes. Hi, Tate. How are you?
Alejandro Nuno: Hi, it's Alejandro on for Tate Sullivan.
Michael McConnell: Hi, Alejandro. Okay.
Alejandro Nuno: Based on the recent announcement of the Miami Grand Prix, I was kind of wondering have you started to earn revenue related to that preparation for the May event yet or will you start earning revenue prior to a little prior to the event?
Michael McConnell: Yes, we started earning revenue in January. Alejandro, the construction, getting the site ready, doing all the work there, it's probably going to be a six-month ramp up period, but we've been engaged in every day of getting more and more volume as the activities continue to grow to get ready for the event.
Arthur Levine: Yes, I'll add to that. We expect that the largest amount of the revenue from that event will be in Q2. That's just the way the event happens during Q2 and there's the biggest concentration of our work is [Technical Difficulty].
Alejandro Nuno: Understood. And if I have one follow-up as well. I was wondering, are the fleet contracts competitively bid or are mostly a result of your sales efforts?
Michael McConnell: I would say the majority of them are through the sales team and the sales efforts.
Alejandro Nuno: Great. Thanks so much. I really appreciate it.
Michael McConnell: Okay.
Operator: [Operator Instructions] There appear to be no further questions in the queue, and we have reached the end of the question-and-answer session. I will now turn the call over to John McNamara for closing remarks. Anyone's closing remarks?
Michael McConnell: This is Mike McConnell. John may be on mute. I would just say thanks for joining the call. We're obviously very pleased with our progress in Q1 so far this year and we're looking forward to extremely prosperous 2023. So, appreciate everybody joining the call. Thank you.
Operator: Okay. This does conclude today's conference call. And you may disconnect your lines at this time. Thank you for your participation.